Rowan Gormley: Good morning, everyone, and welcome to our Half Year Presentation. What we're going to be covering today is first of all, I'll take you through a strategic review of the business. James will then talk you through last year's numbers, and I'll finish off by a look forward into the future. And the key message, we want to deliver today is, we are doing what we said we were going to do. So we said, we would get Naked back on track to profitable growth by doing three things. Number one strengthening the balance sheet; number two, making the profit sustainable; and number three, getting us back to profitable growth. In doing the first of those strengthening, the balance sheet, we are focused on rightsizing inventory and commitments to winemakers which enable us to release £40 million to £50 million of cash out of inventory and to renegotiate our lending facilities to make them more flexible. To make profit sustainable, we've taken some money out of costs already and we are far advanced with further plans to take in excess of £10 million out in addition to that. This will enable us to be profitable at a lower sales level. But obviously, our ambition is not to get to that lower sales level, but to stabilize the customer base at a point which leaves us with a decent level of profitability. And then for profitable growth our goal is to rebuild paybacks to enable growth at the pre-pandemic levels. Next slide please. So where are we on this journey? Well the good news is that after many years of consuming cash we are now moving into a period of sustained cash generation. The two key things there are the cash release coming out of inventory and the impact we've already made on costs with more to come. But a crucial thing to draw your attention to is that existing customer base has been strong. Sales per customer are up year-on-year. Attrition rates are down. The customer base is lower than it was in previous years, but that is because new customer acquisition remains tough. So there quite genuinely are I think more issues on the good news side of this page than on the bad news side, and I would personally feel much more concerned, if we had a generalized sales problem across existing and new customers. The good news is we don't. We have one problem new customer acquisition. Next slide please. So, going into the detail on all of these a bit. The key message on this page is the release of cash from inventory. As you can see on the left-hand side of the page, the dark blue bar, which is inventory coming in is higher than the light blue bar which is cost of goods going out again. And finally, for FY 2024 and FY 2025 those two lines are reversing which will enable us to generate a good chunk of cash out of inventory. Next slide. On the cost side, as I've said, we've taken the chunk out of costs already and we're well advanced in taking another and significantly bigger chunk out of costs. And the impact of this will bring a breakeven sales level down from just short of £280 million to just short of £250 million about a 10% improvement in the breakeven sales level. Clearly, we don't want sales to fall to the £250 million level. We'll be working hard to keep it on the left-hand side of the page. But the goal in bringing the cost down is to ensure that, whatever happens in the future we are profitable and that then gives us the runway to be able to fix new customer acquisition. Next slide. The key thing here is repeat customers are performing well. Sales per Active Angel are up from £207 million a year to £212 million and monthly attrition rate is down to an historic low level. I won't take a lot of credit for the -- or we shouldn't take much credit for the chart on the right, because that is largely a function of us having recruited fewer customers and the customer base has become more mature. But the same the picture remains the same when you look down through the cohorts. Our loyal customers are sticking around and they're buying from us in bigger numbers than they were last year. The challenges in the graph in the bottom left, where the number of Active Angels has fallen materially since last year, which is entirely a function of new customer acquisition. And the obvious question is, well, if you don't fix new customer acquisition what happens and we've tried to answer that by laying out a scenario in the first line of this page, which is if new customer acquisition remains where it is which is significantly harder than pre-COVID the business will settle out a profitability at a sales level of somewhere between £280 million and £300 million. On that, with our new level of costs will make about £10 million of EBIT, and we will generate a decent chunk of cash. Obviously, our goal is to do better than that. And if we return to the long-term target of two times payback that is a significant improvement. And if we get back to the rates, we achieved in the three years up to finishing with the start of COVID, so before pandemic. If we're able to get payback back to those levels then we'll be looking at very healthy profit and cash generation figures, that to emphasize we're in early days of trying to fix this and it remains to be seen whether we will or will not. So the obvious question is, what are these new initiatives that we're testing? And the goal here is to restore Naked to profitable growth by restoring payback back to pre-COVID levels. Three things we're doing. The first is reducing variable costs, which obviously impact directly on lifetime value and therefore on payback. The second is to convert more customers out of the traffic we're already paying for by expanding our addressable markets and fixing the fact that right now customers under the age of 35 we're very underpenetrated. We're really paying for this traffic to come with the business, but we're converting very few of them to being profitable customers. And then the third is, we aim to improve customer quality by offering customers a relationship tailored to their spend shopping and wine preferences. And right now we offer customers a one-size-fits-all solution. The expectation is by customizing that two customers' preferences we will get more customers at a higher value who stick around for longer. Our filing so far is on the variable cost side. As I said, any customer variable cost feeds back directly through into paybacks. And so the stuff we've already done improved them by 0.1 times and there's more to come. The second is that we have made very good progress on monetizing under 35. This was all started long before I came on Board where the initial testing commenced in October last year. And we scaled up the testing over the summer months and it's been tested at scale right now in all three markets across all channels and we would expect in the very early part of next year to be able to give you some harder data on the impact we expected to have in the business. But right now it's looking like around 12% increase in LTV which should in turn be a 12% increase in payback. And then finally, we think and this is at a much earlier stage of testing that there is a further 11% increase in LTV and payback to come through from customizing relationships. We've completed the initial testing on that. We've seen a very positive result to that. We will be building this properly on our main site and we'll be rolling it out into the business for the whole of FY 2025. And again, I would hope not in the beginning of next year, but in the first half of next year to be able to share some hard data on the impact of that on our business. And that's it from me and over to James.
James Crawford: Thank you, Rowan. So I'm going to walk through a bit more of the detail behind some of the comments that Rowan's made. But the overall things that will come out of that will be that this is a business with a strong balance sheet. Net cash £90 million in net assets almost and a significant destock on the horizon that will drive cash generation. And while we wait for that to happen stability in our Angel funding as well as an opportunity for improving our credit facility. You will see this a very solid quarter of the business with the rate of Angel decline beginning to turn a corner improving revenue per customer an opportunity for margin improvement to reverse some of the trends we've seen in the first half. But the challenge of recruitment remains. And whilst there is a sign that the rate of new member recruitment is now stabilizing having reduced over recent years, we've got some very promising data that Rowan has alluded to around a new subscription mechanic. So overall this is a business we look at that will deliver future profitability and it will deliver future cash flow. I'm going to start with that cash flow point on this slide. And I think the headline here is our operating cash consumption in the half year was £3.6 million whereas a year ago it was almost £23 million. So we've seen a significant reduction in the amount of cash flowing out of the business. That is a testament to the work that's been done to bring our inventory intake back to the right levels as well as the work we've done on cost. But you can see the stock build in the half the consumption of cash into inventory has reduced from £51 million to just shy of £20 million. You would expect to see a stock build in the first half as you go into the peak trading season but obviously it's a much, much reduced number. And then you see a commensurate reduction in the amount of payables if you close the half with as a result of that reduction in stock intake, but not nearly the same magnitude. And a slight improvement in the change in Angel funds and we'll talk about those trends on the next slide. What that starts to tell us is that the inventory balance for the group is now expected to come down from here. You can see in the chart on the right-hand side the growth in inventory through fiscal 2022 and 2023, the seasonal bumps that then came down afterwards, but then subsequent growth again to peak of this year. As we now look over the near term of our inventory commitment level we can share with some confidence that inventory will start to come down and stay down. And then as we hit peak of fiscal 2025 the second half we'll really see that destock take place as we sell through the inventory that we have. On the next slide we then look at the funding sources of the business. And I think really important to note that our Angel fund redemptions remain very stable actually improving. The orange line here is the key one which is the percentage of balances withdrawn over the course of the last six months and you see that as continues to trend down. Similar to the attrition chart that Rowan showed we can't take credit for any magic here. A lot of this is because as the base matures because of a fewer number of new customers you get a stickier set of customers, but it's another example of that strong core of the business remaining kind of consistent and stable. And then Rowan has mentioned that we are commencing the process to replace or renegotiate our asset-backed lending facility. We've appointed an adviser to help with that. The preliminary view from that adviser that they said I can share with the world is that replacement on improved terms may will be available which would either generate us one or both of greater flexibility around the P&L or improve liquidity generation from the significant asset base that the big business has. So we remain hopeful that we will get to a better place there as well. In the meantime and this is a repeat of Rowan slide, we are configuring the business to be profitable at lower revenue levels. The reason I wanted to repeat that slide is I think it's important context to the following slide which is how do we expect that revenue to evolve? And if we look on the left-hand side this is the quarterly year-on-year total sales trend, you can see that we've begun to turn the corner there in terms of the rate of decline. The business decline was accelerating kind of through Q4 of the last fiscal year. We still do turn that corner and we expect that to sequentially improve as we go forward. The reason for that is really explained on the right-hand side of this chart, which is it is driven by the trends in our membership. And the light blue line which is the number of subscribers we have and the change in that number year-on-year you see basically mirrors the shape of the left-hand side of that chart. And as we have seen the reduction in the number of subscribers we've got, the rate of reduction in the subscriber base has just begun to moderate and actually just turn up at the right-hand side of that chart. And we can look at the attrition rates we have. We know how many people we're recruiting. And we can see that at this point we are entering a period where we expect this business membership base to really start to stabilize and that will drive the stability in the total sales trend. Looking within that membership base, and again, Rowan has mentioned that the high level that our average revenue per Angel has improved. I think it's important to understand that has happened in all markets. So we show in this chart the dark blue -- sorry dark blue bar is the FY 2023 number. The light blue is FY 2024. And you can see H1 on the far left. In the UK was up 3%. The left-hand side of the middle chart shows the US, also up 3%. And on the right-hand chart, the left-hand side of that is plus 4% for Australia. I think really important is that we are not assuming in our forecast and that drives the guidance we've given that those trends necessarily continue. We do believe they'll continue in the UK but in the US and Australia actually our H2 expectation is we may see a slight reversal of that trend as we lap some fairly intensive promotional activity in the prior year. But importantly, I think to understand that the H2 forecast for the guidance does not require us to continue to see those improvements in the row. And on the next slide looking at the conversion of that repeat revenue to contribution, we can see that during the half our repeat contribution margin declined from 28.4% to 25%. The big drivers of that were gross margin reductions in both the US and the UK, where we have been more intensely promotional. Some mix effect as we've shifted sales mix towards the UK, which has a lower gross margin and reductions caused by our Australian fulfillment costs, in particular, Korea continuing to increase above the level of inflation. We do have a number of improvements in the pipeline that should reverse those trends at the contribution margin level in FY 2025. In both the US and the UK, we've renegotiated our warehousing contracts, the US going live on those terms now and the UK going fully live on those terms from April of 2024. We also expect to reverse some of the US gross margin impact where we won't repeat some of the less effective promotional activity we run in the half. And then we also have improvements in FY 2025 on the SG&A line as a percentage of revenue. If you look at the history of our SG&A you can see the build by half in particular as you went through fiscal 2022 and 2023. Over the space of the last 12 months to 18 months, we've been eliminating the R&D spend. We've also undertaken some cost reduction exercises. And we intend to target a run rate in FY 2025 consistent with the guardrail we've communicated at 11% of revenue that should see that number reduce again to the tune of approximately 2% of revenue coming out of SG&A. So, lots of good news there. I think the challenge is then shown on the next slide, which is around customer recruitment and getting customers in through the door, which stabilizes the base has been the key challenge. So, on the left-hand side you can see a medium-term history, which shows the number of new subscribers by half. And you can see that in H1 of 2024 we are somewhere around the level of about fiscal 2018, fiscal 2019 in terms of the sheer number of joiners. But it is costing us more to get them. And that's what's driving the lower paybacks than we were -- we were at in the pre-COVID time. I think some positive drivers of the outlook here have been improvements we've seen in digital creative, which has enabled us to spend meaningfully in that challenge for the first time in probably 18 months. We have accepted some lower payback thresholds to drive cash in particular in the US. It does make sense when you have an excess of inventory to spend money to drive more customers and turn that inventory into cash even if it's at a lower contribution payback. And then some basics we've put in place we've refocused the team on our core partner marketing process and actually started building a pipeline of partners, that have new partners in there rather than renewing old ones. And that gives us a stronger foundation for all of our core marketing channels. I think some of the negatives that are included in those numbers would include a test we run in Australia, our smallest market to see whether or not we could drive high LTVs uses albeit lower numbers of customers through a non-subscription sign-up journey. We've stopped that. We did see some of the improvements we needed, but not at the level that we wanted. And then we have ongoing tough trends in marketing conversion. It's a difficult economy out there that definitely impacts people's willingness to sign up to a conversion. And so we continue to see lower conversion of some of our marketing collateral into new memberships than we've seen prior to the pandemic. But I think there are some emerging signs of green shoots very, very early on the right-hand side. This shows a kind of last 12-month total number of new members. And you can see very much on the right-hand side of that chart as we begin to annualize in or lap the pivot to profit where we cut investment and reduce the number of people we were recruiting. You really see that flattening. So it feels like we've begun to find a stable level of new member recruitment that we can plan around. And actually if you look at the UK business which is the not quite darkest blue line or up from the bottom you do begin to see a sign that that's just beginning to tick upwards and that's the market where we pivoted towards profitability earliest and it's taken the time now to really rebuild that marketing pipeline and start to see some growth there. But yeah, very early days still a tough market in terms of customer recruitment. And the next slide we then show a data set which gives us an indication that we do have some initiatives that will support us beginning to really move that trend in the right direction. And Rowan has alluded to the testing we've been doing around a new customer subscription. This is some of the test data. It runs back about a year. As Rowan said, we started testing this in October of last year. And over kind of a year's period you can see the test line which is the lighter blue line actually really beginning to show enhanced contribution per sign-up versus what we've been getting under the traditional journey and the conventional journey we've used. This is data from just a small cross-section of customers under 35. We are also testing as Rowan has alluded to at scale across different markets and across different customer mixes, this journey. And we'll have full data on that as we go into the next calendar year to understand what its impact could be, across the entire business. But definitely some positive signs showing here and we will update you in the New Year, as to what that I told us for the outlook of the business. And speaking of outlook just an update on guidance and a couple of words on current trading, we've updated our guidance about a month ago nothing new here versus that but we've put some more flesh on the bones in terms of the drivers of the guidance we gave. So, expecting a 52-week comparable constant currency revenue trend of minus 12% to minus 16%, bear in mind that the prior fiscal year had 53 weeks in it. So we've adjusted that out of those numbers, expecting to spend between £23 million and £26 million recruiting new customers. You'll remember our guardrail for that is to try and spend £25 million. Our repeat customer contribution expectation is £65 million to £70 million. And our total G&A costs including share-based payments but excluding adjusted items would be expected to be at the order of £37 million to £40 million, so seeing a reduction there versus FY 2023. It is worth pointing out the note on the right-hand side we do expect to incur some cash one-offs that will hit SG&A of the order of £5 million to drive inventory and cost reductions but they will be treated as adjusted items in the full year. That results in a total adjusted EBIT expectation of £2 million to £6 million and we expect to close the year with a small net cash balance excluding lease liabilities. I think in terms of current trading so more comment here, but we are indicating Q3 has been broadly on the plan that we have which underpins this guidance. We've seen the number of customer orders we expected from repeat customers. And obviously it's mid-December. So there's, a very important couple of weeks still to go but we will update on that when the time is right. And that's been -- that's all from me. So just a reiteration really, this is a business which has a strong balance sheet with net cash £90 million of assets, opportunity to use those assets to drive liquidity through an improved credit facility and cash generation very clearly on the horizon. The core of the business the repeat customer base showing improving trends in a number of areas and with opportunities to improve the margin realization from the revenue we realized from them. But challenges in recruitment albeit some very early signs of stabilization and some promising testing of new mechanics. Put all together that tells us that this is a business that will deliver future profitability and cash flow. Back to Rowan.
Rowan Gormley: Thank you, James. I want to finish off by reiterating some of the messages we've already covered. The key one is that new customer acquisition is definitely challenging. That existing customers are strong. And the strength of those existing customers together with the work that's already been done on commitments and costs means that we will be profitable and cash generative, even if we don't solve the new customer acquisition challenge. But obviously our aim is to do better than that and we have made some progress in rebuilding growth despite the economy. And the goal remains for me I want to see shareholders staff and winemakers rewarded for their support and their loyalty in helping us through this cyclical period. Thank you very much.
End of Q&A: